Operator: Good day and thank you for standing by. Welcome to the Q2 2023 NCS Multistage Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Mike Morrison, CFO. Please go ahead.
Mike Morrison: Thank you Didi and thank you for joining the NCS Multistage second quarter 2023 conference call. Our call today will be led by our CEO, Ryan Hummer, and I will also provide comments. I want to remind listeners that some of today’s comments include forward-looking statements such as comments regarding our future expectations for financial results and business operations. These statements, including our financial guidance and expectations are subject to many risks and uncertainties that could cause our actual results to differ materially from any expectation expressed herein, including the impacts of inflation, Central Bank’s actions to combat inflation, distress at U.S. regional banks, the Canadian wildfires and Russia’s ongoing invasion in Ukraine on the global economy, oil and natural gas demand and our company. Please refer to our most recent annual report on Form 10-K and our latest SEC filings for risk factors and cautions regarding forward-looking statements. Our comments today also include non-GAAP financial measures, including adjusted EBITDA, free cash flow and net working capital. The underlying details and reconciliations of non-GAAP measures to the most comparable GAAP financial measures are included in our second quarter earnings release, which can be found on our website, ncsmultistage.com. I will now turn the call over to Ryan.
Ryan Hummer: Thank you, Mike, and welcome to our investors, analysts and employees joining our second quarter 2023 earnings conference call. Our performance in the second quarter of 2023 was mixed relative to the guidance we provided in early May, with revenue below the low end of the range, but adjusted EBITDA near the higher end of the range. I’ll briefly discuss our results and the outlook for each of our U.S., Canadian and international markets. Starting with the U.S. Our revenue of $9.4 million in the second quarter fell below the low end of our guidance of $12 million to $13 million and represented a sequential decline from the first quarter of 2023. The sequential revenue decline in the U.S. reflected the impact of falling industry and drilling and completion activity, which affected all NCS product lines, except for Repeat Precision, for which revenues improved by 13% sequentially. We expect to return to sequential growth in the third quarter, particularly in our fracturing systems and tracer diagnostics product lines. A customer of ours that operates in the Northeast recently discussed that they had set a new record by drilling out 262 plugs in a single run in a 3-mile lateral. We’re proud to have been a part of that success and believe that the customers’ use of our technology in that well speaks to the robust performance of our plugs, which pumped down efficiently, securely hold pressure during the fracturing treatment and have fast and consistent drill out and wash time performance. I’ll also highlight one interesting project for the quarter. We were engaged by a customer in West Texas to provide our sliding sleeves for using a project to assess the capacity to permanently store CO2 in an undergrad reservoir. For this project, we were able to modify our sliding sleeve to provide a channel for cabling and downhole instrumentation that will be used to assess reservoir performance. This is the first use of our technology for a CO2 storage project, and our sliding sleeve completion technology is ideal to run with permanently installed downhole instrumentation as this may prevent damage to the cabling that could otherwise be caused by perforating guns. Moving to Canada. Our revenue in Canada of $14.3 million in the second quarter was slightly above the top of our guidance range of $13 million to $14 million and represented an increase of 11% as compared to the second quarter 2022, outpacing industry activity growth for the respective periods. The increase was driven by higher sales of composite plugs, which was the result of a concerted effort by a team spanning sales, operations and technical services in Canada with direct support from repeat precision as well as higher service activity from our fracturing systems product line, especially in June. In addition, during the quarter, we moved to a new operations facility at Red Deer in Canada. This allows us to integrate liner hanger activity with our fracturing systems and tracer diagnostics operations. A strategic partner of ours is also co-located at this facility, which is sized to accommodate future volume growth and to support future product line additions. Activity has improved nicely as we’ve emerged from spring breakup, though the impact of the wildfires in Alberta earlier this year have impacted customer cash flows, resulting in company-specific impacts on activity. These impacts could cause a delay in industry rig counts returning to the highs reached during the first quarter of 2023. Internationally, our operations continued to be slow for us in the second quarter with revenue of $1.7 million coming in below the bottom of our guided range of $2 million to $3 million. During the second quarter, we delivered sliding sleeves to a new customer in Norway with the completion of that well scheduled for later this month. We’ve also made significant progress with other potential new customers in the region and expect to continue to add to our regional customer base in the North Sea, which may lead to an increase in activity for this region in 2024. During July, we completed our first revenue-generating tracer diagnostics project for a leading national oil company in the Middle East. I want to thank our tracer diagnostics and international team members that have supported this opportunity as there were significant logistical hurdles to overcome to make the project a success. We are now bidding on projects for several different regional assets with this national oil company and expect to be able to grow this business profitably over time. Our gross margin performance as a company continues to be a bright spot for us. The benefit of price increases realized over the last year has allowed us to generate a gross margin percentage of 39% for the first half of 2023, which compares to 36% for the first half of 2022. We continuously assess opportunities to streamline our operations and to improve profitability. We initiated efforts in June 2023 to consolidate certain operations and facilities for our tracer diagnostics product line and also consolidated Repeat Precision’s manufacturing footprint in Mexico into a single facility. We expect to start recognizing the full benefit of these consolidation efforts in the fourth quarter of this year with an expected annualized benefit of over $1.5 million on a consolidated basis. We maintain our strong balance sheet with $5 million of net cash and an undrawn revolver as of June 30, 2023. In addition, our consolidated net working capital, excluding cash and short-term debt at June 30, 2023, was over $55 million and exceeds our current market capitalization by approximately $7 million. Our net capital expenditures for the quarter were $0.5 million, highlighting both the capital-light nature of our business and our continued financial discipline. Before I ask Mike to discuss our financial results in more detail, I’ll provide an update to our litigation provision. We increased this provision by $24.9 million during the second quarter of 2023 to a total of $42.4 million as of June 30. This primarily reflects the judgment rendered against us in Texas on May 15, 2023. We intend to appeal this Texas judgment and believe that we have strong arguments that may lead to a reversal of some or all of the awarded damages. We continue to expect a large portion up to all of any remaining damages to be covered by insurance and would therefore expect that this matter once resolved, will not have a significant impact on our liquidity or our operations. Both parties have agreed to nonbinding mediation on the Texas matter currently scheduled for the end of August. Over to you, Mike.
Mike Morrison: Thank you, Ryan. As reported in yesterday’s earnings release, our second quarter revenues of $25.4 million, an 8% decrease compared to last year’s second quarter. While our revenues in Canada increased by 11%, this was more than offset by declines in our U.S. and international revenues of 23% and 32%, respectively. On a sequential basis revenue in the second quarter decreased by 42%, with Canada declining by 53% and the U.S. declining by 17%. The decrease in Canada was primarily related to the normal seasonal decline due to spring breakup and the decrease in the U.S. was due to a decline in rig and completion activity driven by lower commodity pricing, especially for natural gas. Our revenues for the first half of 2023 were $68.9 million, up 4% compared to the first half of 2022, primarily due to higher product sales in Canada. Our gross profit, defined as total revenues less cost of sales, excluding depreciation and amortization expense was $8.5 million in the second quarter of 2023, representing a gross profit percentage of 33%, similar to our gross profit percentage for the same period in 2022. Despite the decline in revenues, we maintained our gross margin percentage due to improved pricing of our products and services, which countered the effect of the decline in volumes and the increased cost of our operations. Our first half of 2023, our gross margin percentage improved to 39%, up from 36% in the first half of 2022. Selling, general and administrative costs were $14.5 million in the second quarter, up by $700,000 compared to the second quarter of last year. The increase was primarily due to salary and wage-related expenses resulting from increases in our headcount and merit raises partially offset by a reduction in our professional fees compared to 1 year ago. For the second quarter, we reported a net loss of $32.2 million or a loss per share of $13.02. As Ryan mentioned moments ago, our second quarter results were impacted by an incremental charge of $24.9 million, primarily related to the judgment rendered against us in May. Including the charge we took in the first quarter, our long-term accrual for legal contingencies is $42.4 million as of June 30, 2023. Aside from the amounts previously paid by the insurance carrier to the plaintiff, we have not yet recorded the expected benefit from insurance recoveries as an asset to offset this legal contingent liability. We would expect to record insurance recoveries in future quarters as they become realizable for GAAP accounting purposes. Excluding this litigation charge, our adjusted net loss was $6.2 million or an adjusted net loss per share of $2.50 compared to an adjusted net loss $5.1 million or an adjusted net loss per share of $2.09 in the second quarter of 2022. Our adjusted EBITDA for the second quarter was a negative $2.2 million, a slight decline compared to the negative $2 million for the same period in 2022 and within our guided range for the quarter. For the first half of 2023, our adjusted EBITDA was a positive $2.6 million, an improvement compared to the $300,000 of adjusted EBITDA in the first half of 2022. Turning now to cash flow items in the balance sheet. During the second quarter, our cash flow from operations and free cash flow were approximately $500,000 and $100,000, respectively, which continue to anticipate being free cash flow positive for the full year of 2023. On June 30, we had $13.7 million in cash and total debt of $8.8 million, resulting in a positive net cash position of $5 million. As of June 30, the borrowing base available under our undrawn ABL facility was $12.6 million. Turning now to a few points of guidance for the third quarter. We currently expect third quarter total revenues of $47 million to $52 million. We expect U.S. revenue of $10.5 million to $12 million, international revenue of $1.5 million to $2.5 million, and we expect Canadian revenue of $35 million to $37.5 million, each representing sequential increases from the second quarter of 2023. We expect our gross margin percentage to be between 41% and 43%, consistent with our gross margin percentage in the third quarter of 2022. We expect our adjusted EBITDA to be between $8 million and $10 million. We expect our third quarter depreciation and amortization expense to be approximately $1.1 million. I’ll hand it over to Ryan to discuss our 2023 full year guidance and for closing remarks.
Ryan Hummer: Thank you, Mike. So we are adjusting our full year guidance for 2023 as follows. We currently expect full year revenue to be between $160 million and $175 million and full year adjusted EBITDA to be between $18 million and $22 million, consistent with the calculations in our earnings release. The midpoint of this new revenue range is $10 million below the prior range and the midpoint of the adjusted EBITDA range has been reduced by $2.5 million. These adjustments primarily reflect lower expected industry activity levels in North America and the deferral of certain expected work in international markets into 2024. We expect gross capital expenditures for 2023 of $2 million to $3 million, reducing the midpoint of the range by $1.5 million. We will continue to exercise capital discipline and retain our asset-light business model with very low maintenance capital requirements we expect our capital spending to support our growth. We continue to expect to be free cash flow positive in 2023 after accounting for both capital spending and investments in net working capital, again, to support our growth. We expect our spending on litigation matters to moderate in the second half of 2023, so we will incur some cash severance and relocation costs in the second half of the year related to our operational and corporate restructuring efforts. As these costs abate, we would expect to convert a higher percentage of our adjusted EBITDA to free cash flow going forward. Underpinning our revenue expectations is an anticipated year-over-year decline in average annual industry activity of 5% to 10% in the U.S. and an increase in year-over-year average annual industry activity in Canada of up to 5%. We continue to expect international industry activity to grow by at least 10% in 2023. We expect our revenue growth to exceed that of the underlying industry through our price increases, growth in international markets and the adoption of newly introduced technologies across our product and service lines. Due to the seasonality of our business and consistent with prior years, the achievement of our annual adjusted EBITDA guidance range is weighted to the second half of the year. Also as discussed earlier, we believe that the recent Texas judgment against us will be covered by insurance with the award potentially reduced through appeal in time if the matter does not get settled through mediation or negotiation. We believe the final resolution of the matter, which could take several quarters or years will not have a significant impact on our liquidity or operations. Before we open the call up to Q&A, I’ll close with a couple of brief comments. First, we expect to continue to grow revenue approximately 5% to 10% in 2023, despite reduced expectations for industry activity levels. We have the infrastructure in place to support revenue growth in each of our geographic markets, which provides leverage to grow future earnings. However, we are also proactively assessing opportunities to rationalize this infrastructure and operate more efficiently as we demonstrated through the consolidation efforts in our tracer diagnostics operations and the manufacturing activity at Repeat Precision. We maintained a strong balance sheet and liquidity position with a cash balance of over $13 million at the end of the second quarter. We expect to add to that balance by the end of the year by generating positive free cash flow in 2023, providing us with further financial and strategic flexibility. We are taking steps to further enhance the effectiveness of our innovation efforts at NCS so that we continue to introduce new technologies that meet the needs of our customers, adding to our portfolio and expanding our addressable market over time. With that, we will welcome any questions on the call.
Operator: Thank you. [Operator Instructions] And our first question comes from John Daniel of Daniel Energy Partners. Please go ahead.
John Daniel: Hi, good morning. Thanks for including me, Ryan.
Ryan Hummer: Yes, good morning.
John Daniel: You cited what was one of the most impressive sort of D&C efficiencies this earnings season, the drill out with, I think, 262 or 266 plus, I can’t remember the exact number. As you all know, you didn’t have the customer, but it’s one of the more respected operators up in that area who is likely going to be doing more longer laterals as well as all the other operators in that area. I’m just curious sort of what that quick commercial for you. When do you get the phone call for the next well like that? And knowing how this industry tends to copy some stuff over time, like where would you expect other operators to see what worked well on that for that project and try to replicate it? And how do you see that playing out for benefiting you guys?
Ryan Hummer: Sure. Thanks, John. Yes, a couple of points there. I think, one, that operator, in particular, is continuously operating, I believe, two completion crews they had built up some DUCs heading into the year. So activity was pretty heavy coming into the first half and may slow down a bit in the second. But with continuous activity there, we’ve got a line of sight to continue to provide them with plugs throughout the remainder of their program. And as you know, there is continued M&A activity and consolidation activity taking place. There is a chance that their completion program that they are utilizing our plug port, is expanded to a broader scope of operations. There are a couple of things that are unique about the program there, one that they uses a size configuration that’s a little bit different than most of the operations in the U.S. So most operators are using 5.5-inch casing for completions. These are somewhat specialized, and they utilize 6-inch casing, but that’s proven to be a very efficient methodology for this customer in particular. The other thing that’s somewhat unique about this project, if you just do the math, it’s a 3-mile lateral with 262 plugs. So stage spacing of about 60 feet, which is tighter than a lot of other operators would be doing. So there is a chance that as you get learnings and other operators see how efficient and effective this completion was that you could see stage spacing by others in the region, move a bit tighter to kind of mimic the operations as well.
John Daniel: Okay. I don’t want to – well, I do want you to give the numbers, but I don’t think you will. How would you compare the margins on a project like that with other business that you would generate in the states? Like if you get more of that, assume a margin uplift to you? I don’t know.
Ryan Hummer: So I think the biggest benefit to us, John, is with the size of that program and with the number of stages that they are able to complete in a day. It’s really that we’re selling into a known quantity, and we can be very efficient in supplying that as opposed to working with, call it, a handful of operators on the private side that may be running half a completion crew and going from well to well, where it’s a bit less efficient to supply them. But once in operational like that gets up and going, it’s good business for sure.
John Daniel: Okay. That’s all I got. Thanks for including me.
Ryan Hummer: I appreciate it, John.
Operator: [Operator Instructions] And our next question comes from Dave Storms of Stonegate. Please go ahead.
Dave Storms: Good morning.
Ryan Hummer: Good morning Dave.
Dave Storms: Good morning. Just hoping to get maybe a little additional color on some of the expansion plans you have beyond North America. Great to hear that it sounds like you got a little traction in the tracer diagnostics section in the Middle East. But just wondering if you could talk a little more about maybe what that means going forward? And additionally, any additional growth in I believe it was Black Sea as well?
Ryan Hummer: Sure. Yes. So, we have really concentrated our international growth efforts over the last year or 2 years on two regions in particular. The first is the Middle East, and in there, we have some good ongoing activity in Oman, and it’s taken a little bit of a while for us to go through the process of getting qualified with some of the other NOCs in the region. And with – what I would say is the largest NOC in the Middle East, we now have multiple products that are cataloged and which we can – we have gone through successful field trials and are available for revenue-generating sales going forward. That would include our tracer diagnostics product line as well as a couple of products within our well construction portfolio. So, with the good performance in the first tracer diagnostics job here that concluded in July, we see a good scope to deploy that tracer diagnostic service across a number of different regions for them, including some conventional activity, but also some unconventional activity. And that’s good, high-volume work for us. We have got the logistics worked out now where we have got enough chemical in the region to support multiple jobs through the end of the year and have that process worked out where we can serve them on a continuous basis. So, we expect to see good uptake on that through the back half of the year and really set the stage for us to grow into 2024 with the tracer diagnostics product line there in the Middle East. The other primary international growth focus area for us has been the North Sea. We started working there several years ago. Over the course of the last 4 years to 5 years, Aker BP has been our primary customer in the region. We have expanded our customer base there recently over the last few years. Late last year and into this year, we started supplying a second customer who operates on the UK side of the North Sea. We have several wells installed with them now that are producing. We expect to be able to install a few more wells with them over the course of the next six months to nine months. And then as mentioned earlier, we supplied sleeves during the second quarter and have completion operations scheduled for later this month with a third customer in the region who operates out of the Norwegian side of the North Sea. Underneath that, we have had continuous discussions with several other operators in the region. And I would say we have got pretty positive indications from two or three other customers about future activity. So, we think we are doing – the team has done a very good job of building up from really a single anchor customer to having multiple customers operating in the region that could support activity across both the UK and the Norwegian North Sea and maybe even the Denmark operating area and some others over time. So, we are very optimistic about that opportunity. And we are also looking to find ways that has traditionally been a fracturing systems market for us, looking for ways to deploy some of our other product lines in the region as well.
Dave Storms: That’s very helpful. Thank you. And I think I called it the Black Sea, but clearly, I meant the North Sea. The other question I just wanted to ask real quick, I know you don’t have a lot solidified around some of the litigation. I know you mentioned that there is some non-binding mediation that will probably take place at the end of August. Is there any guesses around when there may be more answers around either insurance payments or the appeals process? Anything logistical would be very helpful.
Ryan Hummer: Yes. I mean there are certainly – there is the timeframe associated with when we and our insurance carrier would indicate that we would plan to appeal the case. That would be in the coming months, assuming that we – if we are not successful in reaching an agreement through the mediation or direct settlement, we would go down the appeals process, and that would be within the coming months. But with that, any appeal once filed, it could be up to a year until that appeal gets scheduled. So, uncertainty – unfortunately, if we are not successful through mediation, the timeline for the matter could take, again, several quarters up to a few years. So, we are – that’s really the best I can give you from a timeline standpoint right now. So unfortunately, we have the charge that we have taken and the balance sheet liability. However, we continue to believe that the judgment will be reduced upon appeal, and that we will continue to have any final resolution will be covered up to most, if not all of it, will be covered through insurance proceeds. So, we don’t believe that it will have a material impact on our liquidity, on our business, but it’s just hanging out there as a charge right now, and we will look to do everything we can, together with our insurance carrier to move that towards settlement or to make sure that we are in a position to be able to recognize the benefit of insurance when we can. But that’s really a GAAP matter, and it’s something that will take time.
Dave Storms: Understood. Thank you very much for taking my questions.
Ryan Hummer: Thank you, Dave.
Operator: Thank you. [Operator Instructions] Our next question comes from Jeff Robertson of Water Tower Research. Please go ahead.
Jeff Robertson: Thanks for taking my questions. Ryan, just a follow-up on the question about – that John asked, does the applications that you will use in the Northeast have other applications in other basins where operators continue to push lateral lengths?
Ryan Hummer: Yes. Absolutely, it does, right. And I think one of the things that’s certainly interesting about that project is it’s a 3-mile lateral that was completed completely with composite plugs, right, and repeat precision composite plug. So, there is a notion out there that as you get to extended lateral depths, you might need to utilize dissolvables or some other technology. But I think this helps to prove that you can use composites out to the lateral lengths that leading-edge operators are pushing wells today. The other thing I would say is that well – while that plug is in a 6-inch casing, the base design of the plug is no different than our 5.5-inch plug that gets used in regions all across the U.S. So, yes, I mean it’s got applications for operators in any basin. In addition, we have seen certain operators utilize that larger casing size in the Eagle Ford and start to experiment with it in the Permian as well. So, I think the short answer is yes. And I think the performance of the plug would extend to any geography.
Jeff Robertson: Great. Thank you.
Operator: Thank you. I would now like to turn the conference back to Ryan Hummer, CEO, for closing remarks.
Ryan Hummer: Alright. Thank you, Didi. So, on behalf of our management team and our Board, we would like to thank everyone on our call today, including shareholders, analysts and especially our employees. I truly appreciate the depth and breadth of the expertise of our people at NCS and Repeat Precision and the passion and efforts that our people bring to their work. I look forward to the continued accomplishments made possible by this great team. We continue to believe that we are in a multiyear cycle of improved growth and earnings prospects for our industry globally despite the reduction in the U.S. rig count this year. I am excited by how NCS is positioned to participate in that growth and deliver benefits to our employees, customers, shareholders and other stakeholders as we execute on our strategic plans. We remain focused on delivering on our core strategies of building upon our leading market positions, capitalizing on international and offshore opportunities and commercializing innovative solutions to complex customer challenges. We appreciate everyone’s interest in NCS Multistage, and we look forward to updating you again on our next quarterly earnings call.
Operator: This concludes today’s conference call. Thank you for participating and you may now disconnect.